Operator: Good morning and thank you for joining us today for Select Medical Holdings Corporation’s Earnings Conference Call to discuss the Fourth Quarter and Full Year 2014 Results and the company’s Business Outlook. Speaking today are the company’s Executive Chairman and Co-Founder, Robert Ortenzio and the company’s Executive Vice President and Chief Financial Officer, Martin Jackson. Management will give you an overview of the quarter’s highlights and then open the call for questions. Before we get started, we would like to remind you that this conference call may contain forward-looking statements regarding future events or the future financial performance of the company, including without limitation, statements regarding operating results, growth opportunities and other statements that refer to Select Medical’s plans, expectations, strategies, intentions and beliefs. These forward-looking statements are based on the information available to management of Select Medical today and the company assumes no obligation to update these statements as circumstances change. At this time, I will turn the conference call over to Mr. Robert Ortenzio.
Robert Ortenzio: Good morning, everyone. Thank you for joining us for Select Medical’s fourth quarter and full year earnings conference call for 2014. For our prepared remarks, I will provide some overall highlights for the company and our operating divisions and then ask our Chief Financial Officer, Marty Jackson to provide some additional financial details before open the call up for questions. Net revenue for the fourth quarter was $771.6 million compared to $746.2 million in the same quarter last year. Net revenue for the full year was $3.07 billion compared to $2.98 billion last year. During the quarter, we generated approximately 73% of our revenues from our specialty hospital segment, which includes both our long-term acute care and in-patient rehab hospitals and 27% from our outpatient rehab segment, which includes both our outpatient rehab clinics and our contract services. Our results for both the fourth quarter of this year and last year reflect the impact of both the sequestration and MPPR reductions that became effective on April 1, 2013. Sequestration reduced our net revenue by $30 million for the year compared to $23.9 million last year. MPPR reduced our net revenues by $9.2 million this year compared to $5.7 million last year. Net revenue in our specialty hospitals for the fourth quarter increased 3.2% to $566.1 million compared to $548.4 million in the same quarter last year. Our overall patient days and admissions were relatively flat in the fourth quarter with over 336,000 patient days and 14,000 admissions in the quarter. Our net revenue per day increased to $1,546 per day in the fourth quarter compared to $1,509 per patient day in the same quarter last year and was driven by an increase in our Medicare revenue per patient day. For the full year, net revenue in our specialty hospitals increased 2.1% to $2.24 billion compared to last year. Sequestration reduced our specialty hospital net revenue by $28.2 million for the year compared to $22.8 million last year. Overall, patient days declined 1% for the year to 1.34 million days compared to last year and admissions were relatively flat with over 55,000 admissions for the year. Our net revenue per patient day increased to $1,546 per day for the year compared to $1,514 per patient day last year. The increase was primarily driven by an increase in our Medicare revenue per patient day. We generated approximately 82% of our specialty hospital revenue from our long-term acute care hospitals and 18% in our inpatient rehabilitation operations during the year. Net revenue in our outpatient rehab segment for the fourth quarter increased 3.7% to $205 million compared to $197.8 million in the same quarter last year. The increase was primarily the result of growth in patient visits in our outpatient clinics. Net revenue in our outpatient clinic base business increased to $159.3 million compared to $150.4 million in the same quarter last year. For our owned clinics patient visits increased 5.2% to over 1.26 million visits compared to the same quarter last year. Our net revenue per visit was $103 in the fourth quarter compared to $104 in the same quarter last year. Net revenue in our contract therapy business in the fourth quarter decreased slightly to $45.7 million compared to $47.4 million in the same quarter last year. For the year, net revenue in our outpatient rehabilitation segment increased 5.4% to $819.4 million compared to $777.2 million last year. The increase in outpatient net revenue was primarily the result of the growth in patient visits and the expansion of contracted management services in our outpatient rehab clinic business and growth in our contract therapy business. Sequestration and MPPR reduced our outpatient net revenues by a total of $11 million this year compared to $6.8 million last year. Net revenue in our outpatient clinic based business increased to $623.2 million compared to $593.7 million last year. For our owned clinics patient visits increased 4% to over 4.97 million compared to last year. Our net revenue per visit was $103 this year compared to $104 last year. Net revenue in our contract therapy business for the year increased to $196.2 million compared to $183.5 million last year and resulted from new contracts and expansion of services at existing contracts. Our overall adjusted EBITDA for the fourth quarter was $78.9 million compared to $86.4 million in the same quarter last year with overall adjusted EBITDA margins at 10.2% for the fourth quarter compared to 11.6% margin for the same quarter last year. Adjusted EBITDA for the full year was $363.9 million compared to $372.9 million last year with overall adjusted EBITDA margin at 11.9% this year compared to 12.5% margin last year. Specialty hospital adjusted EBITDA for the fourth quarter was $80 million compared to $88.8 million in the same quarter last year. Adjusted EBITDA margin for the specialty hospital segment was 14.1% compared to 16.2% in the same quarter last year. The decline in adjusted EBITDA and margin is primarily driven by incremental startup costs of $5.9 million related to recently opened and specialty hospitals under development and an increase in our bad debt expense. Specialty hospital adjusted EBITDA for the full year was $341.8 million compared to $353.8 million last year. Adjusted EBITDA margin for the specialty hospital segment was 15.2% compared to 16.1% last year. The decline in adjusted EBITDA and margin is primarily related to incremental startup costs of $14.5 million related to new and recently expanded hospitals, the full year effective sequestration and reduction and an increase in bad debt expense. Excluding startup losses and the incremental impact of sequestration, adjusted EBITDA in our specialty hospitals would have increased $7.8 million. Outpatient rehab adjusted EBITDA for the fourth quarter was $23.2 million compared to $19.8 million in the same quarter last year. Adjusted EBITDA margin for the outpatient segment was 11.3% in the fourth quarter compared to 10% in the same quarter last year. For the outpatient clinic portion of our business adjusted EBITDA was 19.3% in the fourth quarter compared to $15.9 million in the same quarter last year. For our contract services, adjusted EBITDA was $3.9 million for both the fourth quarter of this year and last year. Outpatient rehabilitation adjusted EBITDA for the full year was $97.6 million compared to $90.3 million last year. Adjusted EBITDA margin for the outpatient segment was 11.9% this year compared to 11.6% last year. For the outpatient clinic portion of our business adjusted EBITDA was $82.9 million for the year compared to $77.1 million last year. For our contract services, adjusted EBITDA was $14.7 million for the year compared to $13.2 million last year. Our reported earnings per fully diluted share was $0.20 in the fourth quarter of this year compared to $0.21 in the same quarter last year. Reported earnings per fully diluted share for the full year were $0.91 compared to $0.82 last year. Our earnings per share for both this year and last year included non-recurring losses on early retirement of debt. Excluding those losses and their related tax effect, adjusted earnings per share was $0.92 this year compared to $0.90 last year. I also want to provide a couple of updates since our third quarter earnings call in October. As most of you are aware, the Wall Street Journal published an article this week about Medicare reimbursement polices in the LTAC industry. Select’s management tried to educate the journal reporter about this complicated subject. Unfortunately, he did not accept all of our views and we disagree with the thrust of what he wrote. A lot of it is made in the article about the fact that clusters of patients are discharged from LTACs at or about the same time. What isn’t sufficiently emphasized is that Medicare’s DRG classification system is designed to work that way. Patients are grouped into DRG space on their clinical condition and expected resource utilization, such as their length of stay. So, the clustering of the timing of discharge did in each DRG is an expected and unsurprising result of the DRG classification system. Further, Medicare annually updates its program based on actual data to ensure that correlation. Additionally, several Medicare payment policies such as 25-day length of stay requirement are designed to ensure that only long-term patients are admitted to LTACs, which further contributes to this clustering. I would also like to provide an update on our rehab joint venture activities. In November, we finalized the agreement with TriHealth in Cincinnati, Ohio to build a 60-bed rehab hospital, which we expect will open sometime in early 2016. We are currently managing TriHealth’s two inpatient rehab units, which have a total of 46 beds during the construction of the new hospital. And in early January, we closed on our joint venture with PinnacleHealth System in Central Pennsylvania. The joint venture includes the 55-bed Helen Simpson Rehab Hospital in a total of 21 outpatient locations. We continue to feel good about our progress and optimistic about our rehabilitation joint venture pipeline. I would like to now turn it over to Martin Jackson to cover some additional financial highlights for the quarter and the year.
Martin Jackson: Thank you, Bob. For the fourth quarter, our operating expenses, which include our cost of services, general and administrative expense, and bad debt expense, increased 5.3% to $696.4 million compared to the same quarter last year. As a percentage of our net revenue, operating expenses for the fourth quarter increased to 90.3% compared to 88.6% in the same quarter last year. During the full year, our operating expenses increased 3.9% to $2.7 billion compared to last year. As a percentage of our net revenue, operating expenses for the year increased to 88.5%. This compares to 87.7% last year. Cost of services increased 4.6% to $656.3 million for the fourth quarter compared to the same quarter last year. As a percent of net revenue, cost of services increased 100 basis points to 85.1% in the fourth quarter. This compares to 84.1% in the same quarter last year. The primary reason for the increase in our cost of services as a percent of revenue was the incremental startup costs associated with the new specialty hospitals and increases in contract management services provided to our joint ventures. Excluding these effects, cost of services would have only increased by 10 basis points. For the year, cost of services increased 3.5% to $2.6 billion compared to last year. As a percent of net revenue, cost of services increased 40 basis points to 84.2% for the year compared to 83.8% last year. The primary reason for the increase in our cost of services as a percent of revenue was the incremental startup cost associated with our new specialty hospitals and increases in the contract management services provided to the JVs. Excluding these effects cost of services would have declined 20 basis points. G&A expense was $28 million in the fourth quarter, which as a percent of net revenue, was 3.6%. This compares to $23.9 million or 3.2% of net revenue for the same quarter last year. The majority of the growth in G&A resulted from an increase in stock compensation expense of $1.6 million and healthcare cost of $2 million. During the year, G&A expense was $85.2 million, which as a percent of net revenue was 2.8%. This compares to $76.9 million or 2.6% of net revenue last year. The growth of G&A resulted primarily from the same activities, stock compensation expense of $3.8 million and healthcare cost of $1.8 million. Bad debt as a percentage of net revenue was 1.6% for the fourth quarter. This compares to 1.3% for the same quarter last year. The increase in bad debt expense was mainly attributable to our specialty hospitals. For the year, bad debt as a percent of net revenue was 1.5%. This compares to 1.3% for last year. Again, the increase in the bad debt expense was mainly attributable to our specialty hospitals. Total adjusted EBITDA was $78.9 million and adjusted EBITDA margins were 10.2% for the quarter. This compares to adjusted EBITDA of $86.4 million and adjusted EBITDA margins $11.6 million in the same quarter last year. As we mentioned, our adjusted EBITDA in the quarter was adversely impacted by $5.9 million of startup losses in our new specialty hospitals. Startup losses in the quarter were close to $1 million higher than the expectation we provided in our last quarterly call. The incremental losses were primarily related to one of our startup hospitals. The adjusted EBITDA in this per quarter as it relates to our guidance was primarily the result of higher-than-expected employer healthcare expenses of $5.7 million. Total adjusted EBITDA for the year was $363.9 million and adjusted EBITDA margins was 11.9%, compared to an adjusted EBITDA of $372.9 million and the adjusted EBITDA margins of 12.5% last year. Our adjusted EBITDA for the year was adversely impacted by the $14.5 million startup losses in our new and recently expanded hospitals and the impact of sequestration and MPPR reductions, which did not go into effect until Q2 of 2013. Depreciation and amortization expense was $17.3 million in the fourth quarter compared to $16.5 million in the same quarter last year. During the full year, depreciation and amortization expense was $68.4 million. This compares to $64.4 million last year. The increase in depreciation resulted primarily from our increased capital expenditures due to the new hospital development and expansion in our specialty hospital segment. We generated $2.9 million in equity in earnings of unconsolidated subsidiaries during the fourth quarter compared to $1 million in the same quarter last year. During the year, we generated $7 million compared to $2.5 million last year. These increases are mainly the result of contributions from our specialty hospital joint venture partnerships, where we own a minority position. Interest expense was $21.4 million in the fourth quarter. This compares to $20.8 million in the same quarter last year. The increase in interest expense in the quarter is a result of additional borrowings compared to the same quarter last year. Interest expense for the year was $85.4 million compared to $87.4 million last year. The decrease in interest expense was primarily related to lower interest rates on borrowings during the year as it compares to last year. These lower interest rates were the result of a refinancing we completed in the early part of 2014. The company recorded income tax expense of $11.8 million in the fourth quarter. The effective tax rate for the quarter was 30% compared to an effective tax rate of 35.9% in the fourth quarter of last year. For the full year, the company recorded income tax expense of $75.6 million with an effective tax rate of 37.1% compared to 37.8% last year. The decrease in our effective tax rate for the year was related to a decrease in state effective tax rates and the favorable effect of an IRR settlement. Net income attributable to Select Medical Holdings was $25.7 million in the fourth quarter and fully diluted earnings per share was $0.20 compared to fully diluted earnings per share of $0.21 in the same quarter last year. For the full year, net income attributable to Select Medical Holdings was $120.6 million and fully diluted earnings per share of $0.91 compared to $0.82 for the prior period. During both 2014 and 2013, we incurred losses on early retirement of debt related to refinancing activities. Excluding those losses and the related tax effects, adjusted net income per share was $0.92 for the full year of 2014, which compares to $0.90 for the full year of 2013. We ended the year with $1.55 billion of debt outstanding and $3.4 million of cash in the balance sheet. Our debt balances at the end of the quarter included $776 million in term loans, which includes the original issue discounts, $711.5 million in the 6.38% senior notes, which includes issuance premium, $60 million in revolving loans with the balance of $5.5 million consisting of other miscellaneous debt. Operating activities provided $18.4 million of cash flow in the fourth quarter and $170.6 million for the year. The provision of operating cash flow for the year primarily resulted from cash income, which was offset in part by increases in our accounts receivable. Day sales outstanding or DSO was 53 days at December 31, 2014 compared to 48 days at the end of last year. DSO has consistently run in the low to mid 50-day range and often varies based on timing of our periodic interim payments from Medicare. At year end 2013, we had also experienced an accelerated cash collections, which has reflected our DSO at the end of that last year. Investing activities used $23.4 million of cash flow for the fourth quarter and $101.1 million for the full year, primarily for purchases of property and equipment. For the year, property improvements and equipment purchases were $95.2 million. We also incurred investments in businesses and acquisition payments totaling $5.8 million during the year. Financing activities used $2.7 million of cash in the fourth quarter. The primary use of cash related to $13.1 million in dividend payments and $10 million for the purchase of non-controlling interests offset by $20 million in net borrowings on our revolving credit facility. Financing activities used $70.5 million of cash for the full year. Primary use of cash related to $130.7 million to repurchase stock, $53.4 million related to dividend payments, and $34 million prepayment of our term loans. This was offset by $111.7 million in proceeds from the senior unsecured note issuance and $40 million in net borrowings on our revolving credit facility during the year. Additionally, I would like to reaffirm the financial guidance for calendar year 2015. This includes net revenue in the range of $3.1 billion to $3.2 billion, adjusted EBITDA in the range of $370 million to $385 million, and fully diluted earnings per share to be in the range of $0.84 to $0.90. This concludes our prepared remarks. And at this time, we would like to turn it back over to the operator to open the call up for questions.
Operator: [Operator Instructions] Please standby for your first question which comes from the line of Chris Rigg of Susquehanna Financial Group. Please go ahead.
Chris Rigg: Good morning guys. I was hoping we could or you guys could flesh out a little more detail on the medical cost in the G&A, maybe some of the trends in the quarter and then maybe for the year more generally to get a better sense for some of the dynamics that’s going on in that expense line? Thanks.
Martin Jackson: Sure, Chris. The negative impact that we had on our medical expenses was all related to pharmacy costs. And what had happened was we saw a tick up in the pharmacy cost in the first and second quarter. Two components predominantly, first component had to do with hepatitis C, where we had the [indiscernible] drug. And again, that really happened in that first and second quarter. And then we also saw a substantial increase in our specialty compound drugs. That really occurred in the second and third quarter. During those periods of time, we actually saw a very favorable variance to our medical expense. And so the medical expense was basically covering the increased cost that we saw on the pharmaceutical side. And then what happened in the third quarter and it was actually late – and then what happened in the fourth quarter and it was actually pretty late in the fourth quarter we saw a spike up in the medical cost. Medical cost was actually right on trend for what we were expecting. But when that came up – when that increased, that actually as I talked about – that increase was actually covering the negative variance that we had in the pharmaceutical side, we actually had – we does intend to take the hit on the pharmaceutical side.
Chris Rigg: Right. And then so relative to your quarterly guidance of 85 to 90, is that – would you say if that was the majority of the delta?
Martin Jackson: Yes, it absolutely was. If you take a look at that, it was close to $6 million. And that makes up by far the predominant amount of the hit. The other thing, let me point out Chris, is that the two components in the pharmacy cost that we talked about which was the hepatitis C, we think that, that was really more of a one-time. When the new drug came out, we saw a number of our employees or dependence use that drug and then we saw it drop off substantially in the third and the fourth quarter. And then with regards to the specialty compounds, we have actually tightened the program and most of the specialty compounds now require pre-certification and that occurred in September. We saw a significant drop off in the fourth quarter.
Chris Rigg: Okay. And then just to change gears on the revenue and the facility count, I know there has been some churn in the specialty hospital segment, you have closed some facilities in the last quarter or so when you brought some new facilities on. At this point or – while at least in the fourth quarter, were there any facilities that essentially you were unable to recognize – where you were unable to recognize revenue or that are running ADC way below sort of normal run-rate?
Martin Jackson: You are talking about the new starts?
Chris Rigg: Yes, I am trying to get a sense for when I look at the facility count, I believe you closed an LTAC in the third quarter and maybe one – maybe two in the third quarter and I am just trying to get – but the facility count sort of stayed the same. I am trying to figure out if there are any facilities in the fourth quarter were because of start-ups or whatever, there is effectively very little revenue there. I am just trying to get a sense for the admissions drag or sort of overall admissions drag from those facilities really on the top line?
Martin Jackson: Yes, that’s right Chris. We opened one and closed one in the fourth quarter. So, in essence, if you are doing a year-over-year comparison, you would have seen substantially more revenue in the one that we closed and very little revenue in the Q4 ‘14.
Chris Rigg: You have any ballpark what that did to admissions?
Martin Jackson: No, not right now, I mean, I can get you the number.
Chris Rigg: Okay, alright, great. Thanks a lot.
Martin Jackson: Thanks.
Operator: The next question comes from the line of Frank Morgan of RBC Capital Markets. Please go ahead.
Frank Morgan: Good morning. You kind of go back to the healthcare cost again you talked about the spike in medical utilization late in the year. Are there any changes or any mitigation strategies or any benefits, plans that will come into place in 2015 this year to help that or was that caused by some forthcoming change?
Robert Ortenzio: Frank, the healthcare cost in the fourth quarter as we said it was a spike, but at the end of the day, I mean, if you take a look that’s what we were projecting total annual medical spend to occur. So, from that perspective, we continue to have that spend going into – and little bit of an increase going into 2015. So, we feel pretty comfortable with that. The real issue for us was really the pharmacy costs. And as we said that the two issues with regard to Hep C and the specialty compounds we think we have under control now.
Frank Morgan: Okay. I think you also called out a little bit of a spike in bad debt I think you called it out in the specialty hospital division. Can you talk about maybe what was the source of that and does that normalize going into ‘15?
Martin Jackson: Yes. I mean we have always said or we anticipate that the bad debt should be in the 1.3 to 1.5 range. We saw a little bit of an uptick here that was predominantly the result of two things. We had a small health insurance company go bankrupt in the Florida marketplace where we have written off all of the receivables that we had associated with that company. And number two, is we have actually reserved for some of the frac orders that we are currently going through.
Frank Morgan: Got it. And then maybe looking ahead, I think in the third quarter you called out some of the tweaks and changes you are making in your marketing process ahead of patient criteria, I was just curious if you can give us an update on any of your initiatives there and then maybe talk about any of the dialogue you are having specifically with some of the hospitals in your market, are they focused on criteria and just give us an update there? Thanks.
Robert Ortenzio: Yes. Frank, this is Bob. Not too much of an update as you – as I know you probably know we have 17 hospitals that will come under the new criteria in Q4, so that’s obviously the first batch. And we are focused on those and working in those local markets. So for those we are beginning to have the dialogue that’s necessary for our referral sources and our marketing teams to be ready for the new patients. And part of that is not just the marketing, but also tweaking our programs to make sure that we have the programs in place and the staffing, the clinical staffing to take care of the patients that we will – more of the patients that we will have to replace. So really characterize that more as ongoing. And there is really nothing that I can give you that is kind of a bright line of something that we did at least at this point. So we are in the first quarter and we know we have 17 hospitals in Q4. So those are our first and then what follows from them in the first quarter of ’16 is another 40 hospitals that come on. So for each hospital it’s a little different and we have some hospitals that will require very little modification of census development and we have others that are a little bit more significant.
Frank Morgan: Okay, thanks.
Operator: Your next question comes from the line of Kevin Fischbeck of BOA. Please go ahead.
Kevin Fischbeck: Great, thanks. Just want to go back to the bed – the healthcare costs for a second. I think you said in the remarks that healthcare costs are up $2 million year-over-year, but it was $5.7 million I guess higher than your guidance, you expected healthcare cost to be down and yet they are up $2 million is that the way to think about it?
Martin Jackson: When you take a look at year-over-year, we had an increase – our healthcare costs were up in Q4 of 2013, so we are comparing the healthcare costs up in ’13 to ’14. When we are talking about the $5 million, we are talking about our expectations, our guidance.
Kevin Fischbeck: Yes. So you expected the number to come down, but it was higher?
Martin Jackson: Yes.
Kevin Fischbeck: Okay. And so – and you feel like the issues were kind of one-time as they don’t impact your run rate view on healthcare costs into 2015?
Robert Ortenzio: Yes. Kevin as we were saying the – we had going into the fourth quarter of ‘14 we had a very favorable variance on the medical expense. And it ended up where the medical expense actually came in exactly where we are projecting at the beginning of 2014 what was out of – what was where had the negative variance was on the pharmacy side. And those two items that we talked about we think that they are much more one-time in nature. As you probably know, the [indiscernible] was a substantial dollar amount for us, it was running around $81,000 a script for a 90-day supply of pills, but it has a 95% cure rate. So when the drug came out we think a lot of people used it. We anticipate that most of them were – the issue was resolved and consequently won’t be using that again.
Kevin Fischbeck: Okay. And then just going back to the previous question on the new criteria, did you have the kind of the breakout of the rest of your facilities and how they transitioned over to the criteria, because you said 17 and I think you said 40 in Q1 what’s the rest of the transition?
Robert Ortenzio: So, it’s 17 in Q4 this year, 40 in Q1 of ‘16, 19 in Q2 and 36 in Q3.
Kevin Fischbeck: And you mentioned obviously that sometimes the – some facilities don’t require much change and some facilities do. When we think about the potential headwinds to the business, is it right to think about it so far as just the number of hospitals being representative of how much of headwind it is or is there a certain slug where you say, actually it’s the Q3 of next year where the facilities are farthest away from the criteria?
Robert Ortenzio: No, I would say that these are random to when they are, their cost reports are. So, you can – I haven’t looked at it, but I think you can assume that it’s probably a mix bag and probably similar in each of the – in each of the quarters because the hospitals that are contained in those each quarters are totally random. So I think about them probably as some level of bell curve in each quarter.
Kevin Fischbeck: Okay. And then when think about the specialty hospital margin, I guess, it was down about 210 basis points year-over-year. And I guess, if you take out the 5.9 of startup costs, I have – I guess margin is a little bit, like 100 basis points year-over-year. You said higher bad debt just maybe 20 basis points, 30 basis points being the issue, what would be the other kind of headwind, are you allocating health expense down to the facility – to the segment level or is there something else in the specialty hospitals that caused the margins down year-over-year?
Martin Jackson: Yes, the majority of it, Kevin, has to do with the startup expenses. I think when we talked about the cost of services – cost of services, the percentage was right in line. So…
Kevin Fischbeck: Okay, that’s right. I guess the cost of services you highlighted JV expenses, all the JV expenses would be in the specialty hospital business, is that correct?
Martin Jackson: That’s correct. Yes.
Kevin Fischbeck: Okay. So, that’s probably the delta then. Okay, alright. Thanks.
Martin Jackson: Yes.
Operator: Your next question comes from the line of Henry Ritchotte of Deutsche Bank. Please go ahead.
Henry Ritchotte: Good day or good morning. Just a couple of questions, one just – you haven’t done any share repurchase in the last couple of quarters, I am just curious, is that just a – you don’t like the stock, but do you like where the stock price is now or is that just should we reading anything into that about the just a little caution going into the patient criteria?
Martin Jackson: Yes, Henry. It’s really a function of use of cash and given the substantial amount of activity we have on the JV.
Henry Ritchotte: Yes.
Martin Jackson: That’s where we are spending a lot of the money right now.
Henry Ritchotte: Okay. And I don’t know if you have it or I can follow-up, just do you have the RP basket on the 6.38% note by any chance?
Martin Jackson: Yes. Hold on just for a second. Yes, it’s about on the 6.38% notes about $30 million.
Henry Ritchotte: Thanks again.
Martin Jackson: Sure.
Operator: So, you have no more questions at this time, I would now like to turn the call over to Robert Ortenzio for closing remarks.
Robert Ortenzio: I appreciate you joining us for the update and look forward to updating you after our first quarter. Thank you, operator.